Operator: Good day, and thank you for standing by. Welcome to the Glanbia 2025 Half Year Results Presentation. [Operator Instructions] Please be advised that today's conference is being recorded. I will now hand over to Liam Hennigan, Group Secretary and Head of Investor Relations, to open the presentation. Please go ahead.
Liam Hennigan: Thank you. Good morning, and welcome to the Glanbia 2025 Half Year Results Call. During today's call, the directors may make forward-looking statements. These statements have been made by the directors in good faith based on the information available to them up to the time of their approval of the Glanbia Half Year 2025 results announcement. Due to the inherent uncertainties, including both economic and business risk factors underlying such forward-looking information, actual results may differ materially from those expressed or implied by these forward-looking statements. The directors undertake no obligation to update any forward-looking statements made on today's call, whether as a result of new information, future events or otherwise. I'm now handing the call over to Hugh McGuire, CEO, Glanbia plc.
Hugh McGuire: Thank you, Liam. Good morning, everyone, and welcome to the Glanbia Half Year 2025 Results Call and Presentation. I'm joined on today's call by Mark Garvey. I'll provide an overview of our performance for the first half, and Mark will then cover the financials and outlook. And at the end of the call, we will be happy to take your questions. Overall, we delivered a resilient performance in the first half of the year with adjusted earnings per share of $0.6303. This was driven by strong growth in our Health & Nutrition and Dairy Nutrition divisions, offset by anticipated declines in Performance Nutrition. The group delivered revenues of $1.9 billion, representing an increase of 6% on a constant currency basis. In Health & Nutrition, we continue to see good momentum with strong demand from end-use markets and saw like-for-like revenue growth of 6.5% in the period with volume growth of 6.9%, driven by growth in both our Nutritional premix and flavor solutions businesses. In Dairy Nutrition, we saw strong growth in protein solutions and an increase in pricing driven by favorable dairy markets and strong whey protein demand. And in Performance Nutrition, revenue was ahead of expectations, albeit against a challenging backdrop with volume and pricing growth in the second quarter, excluding the impact of SlimFast and Body & Fit, showing a sequential improvement in performance. The group delivered pre-exceptional EBITDA of $241.3 million, representing a decrease of 7.5% and EBITDA margins of 12.5%, representing a decrease of 180 basis points, with margin expansion across H&N and Dairy Nutrition, offset by contraction in margin in Performance Nutrition as a result of elevated whey protein costs. We continue to progress our strategic agenda and have made good progress on our group-wide transformation program with Dairy Nutrition now established as a stand-alone business, continued progress on our key work streams and the announcement today of the agreement to sell Body & Fit, our Benelux Direct-to-Consumer e-commerce business, which we expect to complete in quarter 4. We are also today announcing the acquisition of Sweetmix, a Brazil-based nutritional premix and ingredient solutions business within our Health & Nutrition division, which I will speak more to shortly. We continued our strong track record of delivering returns to shareholders by raising the interim dividend by 10% and returning approximately $63 million to shareholders via our share buyback programs in the first half of the year. We currently have a $50 million program ongoing and have additional $50 million program authorized, which we expect to deploy before the end of the year. As a result of the strong performance in Health & Nutrition and Dairy Nutrition and the improving trends in Performance Nutrition, we are today upgrading our full year adjusted earnings per share guidance to $1.30 to $1.33, representing a decline of approximately minus 7% to minus 5% constant currency. This is based on the current framework for U.S. tariffs. We will be hosting a Capital Markets Day on the 19th of November in London, where we look forward to outlining the group's strategy for the next 3 years. We're also today announcing that Independent Non-Executive Director, Paul Duffy, will be appointed as Chair designate with effect from today, and he will succeed Donard Gaynor as Chair of the company on 1st of January 2026. Donard will retire as Chair and from the Board of the company on 31st of December 2025. On behalf of the Board, I would like to thank Donard for the significant contributions he's made during his 12-year service on the Board. He has made a substantial impact during a time of significant evolution for Glanbia. For Performance Nutrition, like-for-like revenue was down 3.8%, driven by a 3.5% decrease in volume and a 0.3% decrease in price. Excluding SlimFast and Body & Fit, like-for-like revenue declined by 1.5%. The volume decline was driven predominantly by lower revenues in the U.S. club and specialty channels, a reduction in margin-dilutive promotions and the impact of SlimFast, offset by strong growth in the online channel and continued growth in international. We're pleased to see volume and pricing growth in the second quarter, excluding impact of SlimFast and Body & Fit. We implemented price increases across our international markets in the period, and this was offset by some tactical price reductions on higher-margin products in the energy category, which delivered a very strong volume uplift during the first half. From a regional perspective, Performance Nutrition Americas, which represents 61% of revenue, was down 8.7% versus last year due to the aforementioned headwinds. Our global brand footprint continues to be a key strength and our international business, which represents 39% of revenue, delivered like-for-like revenue growth of 4.9%, driven by strong volume and pricing growth in the Optimum Nutrition brand across priority markets, particularly in the U.K., Oceania, China and India. We're pleased with the trajectory in our flagship brand, Optimum Nutrition, which showed a sequential improvement through the period, delivering revenue growth of 2% in the second quarter, comprising 1.5% volume growth and 0.5% pricing growth. EBITDA in the first half of the year declined by 30.5% with an EBITDA margin of 12.7%. The contraction in margin is entirely as a result of the higher whey input costs as previously disclosed, with EBITDA margins expected to improve in the second half of 2025. Whey protein has remained elevated due to continued strong demand, and the group has contracted supply through most of quarter 1, 2026. We continue to expect approximately 15% to 20% of new global supply of high-end whey commencing at the end of 2025 and expanding across 2026. We continue to take decisive action to mitigate the impact as much as possible, including revenue growth management initiatives, product reformulation, group-wide cost savings and working with key suppliers on further capacity. As a result of the improved performance we are seeing in Performance Nutrition, particularly across our growth brands of Optimum Nutrition and Isopure, we are upgrading our full year guidance for like-for-like revenue growth to 2% to 3%, excluding the impact of SlimFast and Body & Fit. We continue to expect EBITDA margins in the range of 13% to 14% for the Performance Nutrition division in 2025, with margins higher in the second half versus the first half. In terms of brand performance, Optimum Nutrition, our largest brand at 67% of Performance Nutrition revenue, delivered a like-for-like revenue decline of 0.5%, but saw sequential improvement during the period, with revenue growth of 2% in the second quarter compared to the prior year. U.S. consumption grew by 1% with double-digit growth in the food, drug, mass channel growing ahead of the category and continued strong growth in the online channel, offset by declines in the club and specialty channels. The protein powder category is growing strongly with the value proposition resonating with consumers. We're also seeing strong consumption growth across many international regions, and we continue to increase our retail distribution with gains for Optimum Nutrition across retailers in Europe and Asia Pacific. I'm also pleased to see Optimum Nutrition delivered double-digit growth in household penetration and TDP in the U.S. We have a world-leading portfolio of high-quality products within the Optimum Nutrition brand, and we continue to focus on innovation and particularly by expanding our usage occasions, and we've launched a number of products in the first half of the year across our protein and energy offerings, including multiple creating offerings, clear whey collagen, electrolyte hydration powder and additional smaller pack sizes across our protein brands, addressing affordability through opening price points. We're particularly pleased with the performance of Optimum Nutrition creatine, which is delivering very strong growth globally, driven by distribution gains across all channels as energy continues to expand. From a marketing perspective, our focus continues to be on driving recruitment and conversion and broadening the brand's appeal through increased campaign reach and education. The AI-powered Coach Optimum is now live in several markets with early results showing excellent engagement rates. Consumers can now benefit from 2 personalized digital tools after the successful launch of the protein calculator last year. We saw increased brand visibility and higher social reach and engagement in the Optimum Nutrition brand via its partnership with the e McLaren Formula One team, and the partnership has been activated at retail in the U.K. via the Golden Scoop promotion, driving increased feature and display among a range of retailers. Our healthy lifestyle portfolio, which represents 19% of Performance Nutrition revenue, delivered like-for-like revenue growth of 0.6%, driven by growth in Isopure, offset by declines in think! and Amazing Grass, building on a strong comparative period. We saw sequential improvement during the period with revenue growth of 9.5% in the second quarter compared to the prior year. Isopure, our high-protein, low-carb brand grounded in purity, continues to enjoy strong growth across all channels. Our new look design and formula has been rolled out in key markets with increased brand visibility and a new and improved flavor. U.S. consumption for the healthy lifestyle portfolio declined by 5.8%, predominantly as a result of certain promotional activities undertaken in 2024 not repeated this year as we navigate high whey prices. We continue to see double-digit U.S. consumption growth in online and food, drug, mass channels for Isopure, and we'll continue to gain market share in the protein powder category in U.S. measured channels, growing ahead of the category. Isopure also delivered strong growth in household penetration and TDP. We launched Isopure whey protein isolate and collagen products into the U.K. market for the first time in the second quarter, and we will be rolling out our More of What Matters creative campaign in the third quarter. As previously mentioned, we're launching a new exciting innovation this month in the U.S., Isopure Protein Water, which comprises 15 grams of premium protein, 20 ounces of refreshing water with electrolytes, 0 grams of sugar and only 60 calories. Our think! protein bar business competes in a highly competitive high-protein bar category with a large addressable market. And during the second quarter, we launched a great tasting new format think! Crispy Squares, which has had good initial retail listings, supported by our new marketing campaign, don't think. think!, which went live at the beginning of the year. Turning to our new segment of Health & Nutrition, which comprises the nutritional premix solutions and flavors businesses and focuses on priority high-growth end-use markets such as vitamins, minerals and supplements, functional beverages, active lifestyle nutrition. This segment delivered a strong performance in the first half, delivering like-for-like revenue growth of 6.5%. This was driven by a 6.9% increase in volume and a 0.4% decrease in price. Some of the volume growth was timing related to customer offtake in quarter 2. Total revenue increased by 18% as a result of an 11.1% increase from the acquisition of Flavor Producers, which we completed in April 2024. The Flavor Producers business is performing well, and the integration is largely complete at this stage. We're pleased with the strong volume performance in the quarter, which was driven by good growth across vitamins, minerals and supplements and functional and beverage markets, particularly across international, and we continue to see good broad-based demand. Pricing was broadly flat and in line with expectations. Health & Nutrition EBITDA was $60.9 million, up 35.9% constant currency. EBITDA margins are strong at 19.5%, an increase of 260 basis points versus half year 2024. Margin expansion was driven by the addition of flavor producers to the portfolio and strong volume growth from existing customers. In terms of guidance, we're reiterating our guidance of mid-single-digit like-for-like revenue growth in 2025, which will be predominantly volume-led, and we are increasing our EBITDA margin guidance to 18% to 19% in 2025. We have a strong position in key ingredients, targeting functional nutrition end-use markets across a broad range of customers. Through our platforms in premix and flavor solutions, we have a collaborative one face customer approach to deploying expertise and technologies in these growing end-use markets. We have the #2 global position in customized premix solutions and have a strong position in natural and organic flavors within our flavor solutions business. Our key end markets have good growth with innovative customers and comprise vitamins, minerals and supplements, functional beverages and active lifestyle and sports nutrition with additional clean labeling opportunities. We have a strong team in place driving the growth within Health & Nutrition, and I'm delighted to announce the appointment of [ Arnaud SCHUH ] as CEO for the division. Arnaud most recently served as President, Nourish Ingredients at International Flavors & Fragrances and brings a proven track record of driving growth and execution across the B2B industry. We continue to invest in innovation, capacity and new capabilities to ensure we have the best solutions to meet the growing demand for functional taste and macronutrient needs across a broad range of formats. We have today announced the acquisition of Sweetmix, a high-quality Brazil-based nutritional premix and ingredient solutions business, which will allow continued expansion in the Latin America region. In 2024, Sweetmix had revenue of approximately $17.3 million. In terms of capacity, we've approved capital expenditure to substantially expand our spray drying capabilities, which will enable us to capture a larger opportunity in powdered flavor applications. We have also approved plans to more than double our Asian nutritional premix capacity. Dairy Nutrition, which combines our previous U.S. cheese and Nutritional Solutions dairy proteins portfolios has been established as a stand-alone business with a dedicated leadership team since July 1. This platform is largely one integrated manufacturing footprint with a high supply and operational interdependency and is also the route to market for our joint venture partners, supply of whey and cheese ingredients. This business provides a scale leadership position in dairy as a leading producer of whey protein isolate and American-style cheddar cheese in the U.S. We also hold exciting positions in dairy bioactives with strong demand, particularly for colostrum targeting gut and immunity health. In the first half of the year, Dairy & Nutrition delivered like-for-like revenue growth of 14.1% in the period, driven by a 4.3% increase in volume and a 9.8% increase in pricing. The increase in volume was across cheese and protein solutions, and the pricing increase was driven by favorable dairy market pricing and strong whey protein demand. Our guidance for full year '25 remains unchanged. As I referenced earlier, we're making good progress on our group-wide transformation program to drive efficiencies across our new operating model and support the next phase of growth through 3 focused divisions. Overall, the transformation program is a 3-year initiative and as well as supporting future growth, the program is expected to generate annual cost savings of at least $50 million by 2027, which will be utilized across reinvestment in the business and profitability improvement. The program will deliver across 4 areas. The first is operating model optimization with Dairy Nutrition now established as a stand-alone business, Performance Nutrition Americas reorganization completed and Health & Nutrition leadership team established to drive future growth. The second pillar is to unlock efficiencies, and we have substantially completed the outsourcing of certain finance and HR functions. We're also accelerating procurement savings and progressing the centralization of the group's supply chain model to deliver synergies and support growth through optimizing our footprint and simplifying our organization. The third pillar is about accelerating our digital transformation, which has been underway since the middle of last year. We have expedited the transformation of our back-office functions and continue to focus on automation and the implementation of AI and analytics to enable front-office growth initiatives. The final pillar is our ongoing portfolio evaluation. We're focused on simplifying our group structure and optimizing our overall margins. We have today announced that an agreement has been reached for the sale of Body & Fit, our direct-to-consumer e-commerce business in the Benelux region. We expect this disposal to complete in quarter 4 and be accretive to margins from 2026 onwards. Our whey management brand, SlimFast, has been designated as noncore, and we are pursuing exit options for this brand. As I've mentioned earlier, we will continue to look at strategic acquisitions within our Health & Nutrition division in particular, and the acquisition of Sweetmix, which we announced today is a good example of improving our overall capability. And with that, I will hand over to Mark to take you through the financials.
Mark A. Garvey: Thanks, Hugh, and good morning to everyone on the call. Group revenue for the half year was $1.93 billion, up 6% on a constant currency basis. At the group level, volumes were up 0.9%, driven by good performance in Health & Nutrition and Dairy Nutrition, somewhat offset by declines in Performance Nutrition. Price was up 3.4%, predominantly due to dairy market pricing. Acquisitions added 1.7% to group revenues as a result of the acquisition of Flavor Producers in April '24. Group EBITDA pre-exceptional in the first half of '25 is $241.3 million, down 7.5% constant currency, driven by weaker performance in PN as anticipated as a result of higher whey input costs, somewhat offset by strong EBITDA growth in H&N and DN in the period. PN EBITDA was down 30.5%, H&N was up 35.9% and DN EBITDA was up 19.5%. Group EBITDA margin was 12.5% compared to 14.3% in the prior year, primarily due to weaker EBITDA margins in PN as a result of higher whey input costs, as previously mentioned, with first half margins down 490 basis points. We saw good progression in H&N margins with an increase of 260 basis points on the prior year. Adjusted earnings per share for the half year was $0.6303, down 7.5% on the prior year. Cash conversion for the 12 months ending July 5 was 81.3%, ahead of our annual target of 80% with operating cash flow of $432 million generated during the 12 months. The group had net debt of $650 million at the end of the period and has $1.37 billion in committed debt facilities with a weighted average maturity of 3.2 years with no facility due for renewal prior to late '27. Net debt to adjusted EBITDA was 1.28x, broadly in line with the prior year. Investment in capital expenditure for the first half was $47.7 million, of which $34.2 million was allocated to strategic capital expenditure with investments in ongoing capacity enhancements, business integrations and IT investments to drive further efficiencies. For the full year, capital expenditure, both strategic and sustaining is expected to be between $80 million and $90 million, which will include initial spend related to the expansion of our H&M facilities in Asia and in the U.S. These projects, which are expected to be completed by the end of 2026, will have a total investment of approximately $30 million, of which approximately 25% will be invested this year and will enhance our ability to service customers in growing end markets. We continue to focus on a consistent approach to shareholder returns, and the Board have approved a 10% increase in the group's interim dividend from EUR 0.1564 to EUR 0.172. We are committed to a progressive annual dividend with a target payout ratio range of 25% to 35% of adjusted earnings per share. In February, we announced authorization for an additional EUR 100 million share buyback program, bringing the total authorization for '25 to EUR 150 million. In the first half of the year, EUR 62.8 million was deployed on the share buyback programs, purchasing and canceling just over 5 million shares at an average price of EUR 12.33. We continue to progress the remainder of the second half -- of the second EUR 50 million tranche of the buyback program that was launched in June '25. A third EUR 50 million share buyback program is expected to be deployed prior to year-end. The group incurred exceptional items net of tax of $32.6 million in the first half. These primarily related to the group-wide transformation program, which we announced in November 2024 and included costs associated with one of its work streams being the outsourcing of certain finance and HR services, a significant portion of which has now been completed. In addition, following the agreement for the sale of Body & Fit, which we announced today, there was a noncash charge of $8.7 million associated with writing down this business to its net realizable value. We expect the sale to be completed in Q4 of this year. We continue to progress the process related to the sale of noncore brand SlimFast. Net finance costs were $13.6 million, up approximately $3.2 million compared to prior year, primarily due to higher average net debt compared to prior year. For the first half of the year, the effective tax rate was 15%, down from 16% in the prior year. For the full year, we expect a similar outcome. The joint venture performance was broadly in line with the prior year first half and improved performance is expected in the second half due to the implementation of the U.S. Federal Milk Marketing Orders program from June 1. Now I will walk through the components of guidance for the full year. Performance Nutrition like-for-like revenue growth, excluding the impact of SlimFast and Body & Fit, is now expected to be between 2% and 3% for the year. The revenue outcome in PN during the first half of the year was better than expected with sequential improvement evident in Q2, including low single-digit volume growth in ON. We expect this improvement to continue into the second half of 2025 due to strong category momentum, innovation, some distribution gains and the lapping of private label launches in the club channel. We are now confident in delivering this improved revenue guide, implying a strong half 2 delivery, driven predominantly by ON and Isopure volume growth. Including the impact of noncore brands and the impact of the 53rd week, which fell in 2024, total PN reported revenue is expected to be down by low single digits in 2025. Performance Nutrition EBITDA margins are expected to be higher in the second half, and we continue to expect full year 2025 PN margins to be between 13% and 14%. Whey procurement has now been completed through most of Q1 '26 at a similar cost to the second half of 2025. As we have previously outlined, we have line of sight to approximately 15% to 20% of new whey protein isolate supply coming to market for the back end of '25 and during 2026. In Q1 '25, we took pricing in our international markets, and we're implementing price increases in the U.S. in Q4. Health & Nutrition delivered a strong performance in the first half of the year with Q2 benefiting somewhat from timing of customer offtake. We continue to expect like-for-like revenue growth of mid-single digits for the full year, predominantly volume-led. Growth is expected to be good across both premix and flavor solutions businesses as we're seeing strong category momentum in our end markets. We are upgrading Health & Nutrition EBITDA margins for the full year, which we now expect to be in a range of 18% to 19%. Second half margins will be lower than first half margins, predominantly as a result of the impact of tariffs being more second half weighted. We continue to expect profitability growth across Dairy Nutrition and the group's U.S. joint venture due to strong dairy markets and as a result of the implementation of the U.S. Federal Milk Marketing Orders program, which became effective on June 1. Operating cash flow conversion is expected to exceed 80% for the year. As a result of the improved top line performance in Performance Nutrition and continued strength of both Health & Nutrition and Dairy Nutrition, we are upgrading our adjusted earnings per share guidance for the year to $1.30 to $1.33, previously $1.24 to $1.30, which represents a year-on-year decline of approximately 5% to 7% on a constant currency basis. This guidance includes the direct impact of tariffs, which we have taken significant action to mitigate, and we continue to monitor the situation as new developments arise. And with that, I will hand it back to Hugh.
Hugh McGuire: Thank you, Mark. Just to close, I'd like to reinforce our conviction that Glanbia remains well positioned for growth. In terms of our focus, we're pleased to upgrade our guidance today driven by improved trends in our Performance Nutrition division with strong growth in the category, continued strong demand in our Health & Nutrition and Dairy Nutrition divisions. We continue to execute initiatives as part of our group-wide transformation program across our 4 pillars, simplifying our organization and delivering efficiencies for the next phase of growth. We continue to navigate high-end whey prices carefully with a number of initiatives ongoing to address this as discussed earlier. And we continue to invest in key talent and capabilities to drive growth across a great portfolio of better nutrition brands and ingredients that operate in exciting categories with market-leading positions in high-growth end-use markets. And with that, I would like to hand it over to the operator for questions.
Operator: [Operator Instructions] And your first question comes from the line of Patrick Higgins from Goodbody.
Patrick Higgins: A couple of questions on my end, if that's okay. Firstly, just on the PN guidance. Maybe you could just unpick, I guess, price versus volume. It clearly implies a pretty strong pickup in H2, I think, around 6%, if I'm not wrong. And I appreciate the kind of high-level color you gave on that, Mark. But maybe just a little bit more color around what's underpinning that confidence in the pickup either by region or by brand as well? Second question then around the H&N delivery, I guess, really strong versus a pretty muted consumer backdrop. Is that just broader consumer backdrop? Is that just a reflection of the end markets that you're playing into? Or are you taking share? A little color there would be great. And then in terms of the margins in H&N, clearly calling out a slightly softer H2 versus H1. Is that the right margin to assume into 2026? Or is there incremental mitigation that you can kind of get -- to kind of get back to that 18% to 19% range for '26? And then my final question, if I can squeeze it in, just on WPI. I think you've reiterated your expectation for more supply to come through in Q4 and into '26. Is there any kind of delay in phasing of that versus your original expectations? And do you still expect the whey cost backdrop to ease as that supply kind of ramps up?
Hugh McGuire: Patrick, that's a lot of questions. So hopefully, I have all 4 of them. Maybe I'll start with the last one first. I'll talk to PN guidance briefly, HN delivery and Mark will talk to margin. In terms of whey -- I suppose the first thing I'd say is, look, it's an issue we flagged 12 months ago. There's a lot of expertise around the group. It's a key area of focus for us, as you can well imagine. The first thing to say is the high prices are being fundamentally being driven by demand. We're in very good demand categories, whether it's powders, ready-to-eat bars, high-protein bars or drink, and that's in the U.S. and internationally. So fundamentally, these prices are being driven by demand. There's probably a little bit of global tariff in there as well, as you can well expect as we see some of the tariffs put in place. A specific example of that would be the likes of EU dairy going into the U.S. is now 15% more expensive. That's probably putting a little bit of a floor on some dairy pricing. I think that will wash through. We see China sourcing more from Europe now as well. So they are more short-term issues, but just having a slight impact at the moment. And -- but lastly, in terms of supply, what we're clearly seeing is, firstly, we're seeing additional capacity come on stream within current footprint, i.e., everyone is maxing out supply of high-end whey as much as possible, including ourselves in our Dairy Nutrition business, and you can see that in the results of dairy nutrition. We are seeing new suppliers come on stream. In fact, we've one brand-new supplier starting to ship us this quarter with high-quality whey, which we're delighted with. That's a project that's been ongoing for a significant period of time. We still remain -- we have visibility to 15% to 20% of new whey coming on stream next year, IN WPI, and we're working on additional supply for 2027. So the supply is coming. I think what we've always said is it can be a challenge to call exactly what quarter and when that comes on, you're commissioning large-scale facilities. And not only that, they have to hit high specs for our brands as well in terms of macros, but certainly, supply is coming. As Mark would have said, we're covered for whey for this year and into quarter 1, 2026. And it's obviously a key strategic focus for us. In terms of the H&N delivery, that's really good end markets across all of our end markets. As I called out, we're seeing good demand so I wouldn't call out one over another. We're seeing good international demand as well as U.S. demand as well. So very happy with Health & Nutrition performance in half 1. And in terms of fee and guidance, yes, look, it will primarily be volume as we look into half 2. Clearly, we're comping some pullback in club channel. We'll have comped that at the end of quarter 2. We've good innovation program in place. You heard me speak to it a few moments ago. And just generally, we're seeing good category growth and good demand, both in the U.S. and international, particularly in powders. Yes, we are seeing accelerated growth in powders. It's a very affordable source of protein. So we're pleased with that. And I'll hand over to Mark then on margin H&N.
Mark A. Garvey: Patrick, on H&N, again, strong first half for us in terms of the margins, better than what we had anticipated. We did come in a bit higher on volume. Some of that was timing of customer offtake, which may have been some pre-tariff buying. It's hard to call exactly, but that would have helped obviously from a volume perspective there. The additional flavor producers has certainly been helpful as well in terms of ensuring our margins are at a good level. And calling for the year, we're being somewhat cautious around the fact that there is still noise around tariffs for the second half of the year. We have mitigated a significant amount of what's out there. There's still conversations, as we all know, between China and the U.S. going on, which we're monitoring very, very carefully as well. So we think that's the appropriate guide for the year. I think leave us a few months to sort of give you a guide for the next 3 years in terms of margin sort of corridor, which we will do, of course, at Capital Markets Day, but feeling very good about momentum in that business right now.
Operator: Your next question comes from the line of David Roux from Morgan Stanley.
David J. Roux: Well done on the results. I'd just like to follow up on the comments. So a couple of questions. Firstly, going back to whey. You mentioned you covered through much of Q1 and that prices are similar to that of the second half of 2025. How do your contract prices in Q1 for '26 compared to the equivalent period in 2025? I'm just trying to establish whether it's still going to be kind of inflationary neutral, potentially deflationary. And then just moving to my second question on Optimum Nutrition. Is it possible to kind of unpack that 1% growth in U.S. consumption in the last 13 weeks. I mean, just between -- I mean, how much of this was down to distribution wins? And then last question is on the club channel. Has the situation with private label penetration kind of stabilized there? Or are you seeing kind of increasing shelf creep from the Kirkland brand?
Mark A. Garvey: David, in terms of your question on whey cost, not materially different to what we saw, frankly, in the first quarter last year. As you know, we're actually looking at a number of different levers coming into next year as well, including pricing in North America, for example. So planning ahead of that as we get into next year, but not materially different from an inflation perspective. Very different '26 versus '25 compared to '25 versus '24 for us, which I think is important.
Hugh McGuire: In terms of the club channel question, yes, what I'd say is that stabilized in terms of -- when we're happy with ON performance in Gold Standard Whey and the club channel.
David J. Roux: Great. And then just how much of the 1% growth in Optimum Nutrition in the U.S. was kind of distribution wins?
Hugh McGuire: Not significant. Mainly velocity.
Operator: Your next question comes from the line of Setu Sharda from Barclays.
Setu Sharda: I've got 3. The first one is on the Performance Nutrition organic sales growth. So your guidance implies like the mid-single-digit organic sales growth in H2 for core P&X, Body & Fit and SlimFast. So like how much of this growth is expected to be volume versus pricing? My second question about the competitive intensity. Like the peers have called out increasing competitive intensity in RTD protein. So can you provide like any more color on the competitive intensity in the ready-to-mix protein powder category in U.S.? Any notable change you have seen in Q2? And my third question would be on your FY '26. So early days for FY '26, but any reason why at this point, like ex-Body & Fit and SlimFast, PN should not get back to mid-single-digit growth algorithm top line with improving margins in 2026?
Hugh McGuire: Yes, I'll take the first question. In terms of half 2, look, I said it earlier on, we're lapping a comp in the club channel, particularly around private label. We see good innovation growth in half 2 as well and as I spoke about on the call. And then we just see good general -- the categories are growing strongly, and we continue to take share. So if I break it, we'll probably see stronger volume growth in quarter 3, and then we start to see price growth in quarter 4 in price in North America and price in -- price already taken in international. In terms of competition, look, the ready-to-mix category, all categories have always been competitive. So I wouldn't call out the fact that it's particularly any more competitive than it has been for the last number of years. We're not seeing any dynamic change. The categories itself, where we have data across food, drug, mass, we're seeing the category in ready-to-mix accelerating, same level of promotional spend, and we continue to invest in terms of capturing market share. But I wouldn't -- it has always been competitive. So I wouldn't highlight it as any more -- any particular competitive than it has been over the last couple of years.
Mark A. Garvey: Yes. And to your question, you're correct, it is very early to be talking about '26. I think just some comments I'd make just in terms of momentum here. You are going to see good momentum on top line in the second half. Some of that, as we said, is lapping the club channel challenge that we've had. That will continue to get lapped in the first half, for example, of next year. Categories remain strong. We expect to sort of see that come through in terms of top line momentum into next year as well. In terms of margin, we know pretty much what our cost base is for the first quarter. We sort of have a fairly good view as to how that's playing out at the beginning of next year. We're putting pricing through at the end of this year. Body & Fit, we've just sold. That will complete in the middle of Q4. That's probably a 0.3%, 0.4% improvement for us in margin next year. So we're working through a number of things that continue to give us confidence, as we head into next year, but we'll clearly guide more as we get towards the end of this year.
Operator: We will now take the next question. And the next question comes from the line of Nicola Tang from BNP Paribas.
Nicola Tang: The first was just on the environment or the health of the consumer in the U.S. You clearly saw decent volumes, particularly on the H&N side. But I was wondering if you could talk a little bit about what you're seeing across -- or the discussions you're having with your customers around the health of the end consumer in the U.S.? Do you see any change in order patterns? Are you seeing any signs of kind of down trading or value-seeking behavior? And perhaps you could talk about how this impacts both the PN side and the Health & Nutrition business? And then the second question, it's come up a few times, but just could you explain again the pricing dynamics in PN for the second half of the year? I think you mentioned further price increases in the U.S. in Q4. Do you expect to put anything or any more through on the international side? And are you worried at all in terms of impacting sort of price elasticity of demand through those price increases?
Hugh McGuire: Look, you can assume we watch the consumer and the health of consumer in the U.S. and all of our key markets very carefully. I think what we say is the Health & Nutrition space is a great space. The protein and energy spaces within that are great spaces. We can see that from very strong category growth across powders, bars and ready-to-drink. So very pleased with that. We called it out. The categories are competitive, but we continue to take share. We're particularly pleased with some of our energy innovation over the course of the last 6 months that are growing strongly as well. So watch it quite carefully. I think if we go back as we've been through these cycles a number of times, we know from history that the -- in this space, the consumer tends to be resilient. They tend to prioritize their health and wellness goals. They'll prioritize their nutrition. So we will watch it carefully, but certainly very pleased with the overall category growth rates. In terms of Health & Nutrition, we're also -- like that's the benefit of the business, whether B2B or B2C sells into the same category trends. The key end-use markets for us are vitamins, minerals and supplements. So clearly, we'll be selling a lot into protein bars, protein products, functional beverages, which would include a broad base of categories that are growing and then active lifestyle nutrition. So the Health & Nutrition benefit is -- Health & Nutrition segment, our business is benefiting from the same category growth rates that our Performance Nutrition business is benefiting from. In terms of price increase for half 2, I think we said that, yes, we have already price increased in international for the year. We're very happy with that, that we tend to assume an elasticity of 1. It tends to come in around 0.8. And it really then is around how quickly the category reacts. We will always be the price taker. We will always move first in international now, and we've effectively seen all our competitive sets move in all of our major markets. So the price increase in international, depending on the market, could range from high single digits to well into the double digits. So that's put in place in quarter 1 and quarter 4, we will price increase in the U.S. Those conversations are already being had. I think given the demand in the category and prices remaining high in whey, everybody will be price increasing. But do we need to do more price increase? Look, we've managed our whey through this over the course of the year. And I think we do have a relatively point, as we go into next year that even if whey is to increase a little bit, it won't be off the scale of price inflation that we would have seen '25 over '24, in fact, nowhere near that, especially with new supply coming on stream. So we don't expect to have to price increase again as we go into next year, but we will always keep that under review.
Operator: [Operator Instructions] And your next question comes from the line of Karel Zoete from Kepler Cheuvreux.
Karel Zoete: I have a couple of follow-ups, but start first maybe with the exceptional costs. There were $28 million for the transition program, already some spend last year on that as well. You gave an overview of the things that are in motion. But what has the money effectively been spent on? Because $28 million, of course, is a lot of money. And should we anticipate more costs going forward? Or is this it? And also on the transformation program, where do we stand with the target savings, $50 million in 3 years, 2 years from now? Where do we stand today? Then the second question is on cash flows. H1, usually low. You see working capital is costing a bit of cash today. What do you expect for working capital movements in the second half and cash flow, therefore? And then the third question is on innovation. We see interesting things with Isopure, the ready-to-drink segment again in August. Can you speak a bit about the launch of these concepts in Isopure and also probably on the ON renewed push for ready-to-drink. Is that what we should anticipate?
Mark A. Garvey: Karel, yes, to your question on exceptional costs, yes, the costs associated with the transformation program that we incurred in the last 6 months been primarily related with the outsourcing of services in terms of finance and HR that went over to India, as you can imagine, the significant costs associated with parallel running, severance, et cetera, that are in there. Those savings will start to come through towards the end of this year into '26. That will be one element of the transformation program that we have. There are a number of other elements we're looking at, including supply chain, looking at separate organizations for Health & Nutrition and Dairy Nutrition, for example, quite a bit of digital programs as well. I did say that we have an envelope of $70 million to $80 million of cost that we expect to spend. Between last half -- last year and this first half this year, we spent approximately $45 million or so. But again, we'll update that program at the Capital Markets Day in November and just give folks a bridge in terms of how that all works through in terms of what we want to see from a margin improvement and also an investment within the business as well. So that's what -- that program is currently -- that's primarily spend for the first half. On the cash flow point, yes, working capital was an investment more in the first half this year. The higher costs we're seeing in terms of whey and other inputs had an impact on that. You also probably -- you saw some inventory, I would say, moving around from a pre-tariff perspective to make sure we were properly covered. That will begin to ease off as we get into the second half of the year in terms of our overall expectation. So we're still very comfortable we get to over our 80% target for the conversion of the year, but pricing and some pre-tariff movement will be the primary reasons.
Hugh McGuire: Yes, Karel, in terms of the RTD space, we're excited about that innovation. It's been more than 2 years of work and effort, both across our innovation labs and from a consumer research perspective. Like it is an excellent product. It researched really well. And really within the RTD space, we were very clear that we needed to find a clear point of differentiation. As somebody earlier highlighted, it's a very competitive category with protein costs at the peak that they are. It's a difficult category to break into scale. So this has been a key effort for us. We believe Isopure had the right point of difference. It's a high-protein, low-carb brand grounded in purity, purity and clean label. Our biggest powder SKU is unflavored with only 2 ingredients, doing extremely well for us. So there was a lot of work technically as well on getting that protein into solution without being acidic for a clear protein beverage like that. They're often high pH to get into solution. And in terms of the macros, they're quite compelling. It's 20 ounces of water with electrolytes. It's 15 grams of protein, 0 grams of sugar and only 60 calories. So it resonates very well with female consumers. So it's just launching this week. We've had samples, that great. It does taste like water -- flavored water. So we're excited about it, but it's just launching. But it has been -- that will be our priority focus at the moment for RTD. We'll continue to look at RTD across our broad portfolio, including ON. And we have ON RTD in a number of international markets, doing very well. But our prior -- what's doing well for us, as I called out, innovation under Optimum Nutrition right now is our energy category.
Operator: The question comes from the line of Damian McNeela from Deutsche Numis.
Damian Paul McNeela: My first question is just kind of a follow-up on Patrick's question about H&N margins. And perhaps, Mark, if you could provide a bit more color about the drivers of that margin improvement and the balance between the flavor business and underlying volumes. And if we look at guidance, what should -- what are the things that -- how does that sort of change in the second half? Because obviously, we're expecting a slightly weaker margin performance in the second half so just trying a bit more detail on that, please. In terms of -- and then on the Sweetmix acquisition, obviously, you disclosed that it just did over $17 million of revenues in '24. Can you sort of give us an indication of what capacity utilization looks like for that facility, whether it needs incremental CapEx and what the sort of customer profile is for that business? And then the last question is on PN Innovation. I think innovation seems like it stepped up a little bit in the period, which is clearly encouraging. Are you able to provide any sort of quantification of what contribution to revenues they've made in the period? I know some of them are relatively new. And also marketing spend associated with that, how should we think about that going forward?
Mark A. Garvey: Damian, yes, to your question on H&N margins, look, the addition of flavor producers has been a benefit to us. There's no question, and we've been working on synergies with that business and the prior Frutarom acquisition that we made as well, including looking at the manufacturing footprint and just ensuring to a cost base that we're making that as effective as possible. So that's been quite successful for us. It has driven some of that margin improvement. I'm not going to break down between premix and flavors in terms of how margins works, but certainly, flavors has been an important element of that. The volumes we've seen come through in premix as well, we've been very pleased with. Of course, that continues to improve efficiencies across our organization, but probably more of a flavors element than a volume element driving that, I would say, in the first half. In the second half, what we're just cautious on is the fact that we have some tariff noise, and we are going to see more likely than not increased cost in some of our input cost for buying products from China, for example. Ultimately, you'd like to see how you can pass those through. It may be easier in some cases than others, but that will certainly have a bit of a headwind for us in the second half. So I think it's appropriate calling that as we see it right now. So therefore, we think the overall guidance of 17% to 18% makes sense -- or 18% to 19%, excuse me.
Damian Paul McNeela: Yes, that's correct...
Hugh McGuire: Thanks, Mark. Yes. Damian, speak to Sweetmix, I'd say, firstly, look, we're delighted with the acquisition. You called it out it is small in terms of revenue, but we've been a long time looking at getting a footprint in Latin America. So really pleased strategically with that, and we would see significant opportunity for growth both in Brazil in markets, but also across the region. And certainly, given the recent -- that wasn't the reason to do it. We've been at this for a while, but with recent tariff -- global tariff noise and changes, there'll be additional benefit there as well. It's a fine facility. We don't have to put in any additional CapEx. There's plenty of capacity for growth within the facility. It's been well invested by the founders. And in terms of the end-use markets, it will be infant nutrition, functional beverages supplements. So it ties in a lot with the sectors that we know well. It just gives us scale. It gives us a footprint to service those customers down in Latin America. So very pleased with that. And I think Mark will have highlighted as well in terms of just broader CapEx for Health & Nutrition. We're doubling -- we're more than doubling our capacity in Asia, which will be complete by the end of 2026. And clearly, that's because of strong demand in that part of the world. And we're building out a spray drying campus. We bought in terms of flavor producers. We bought a natural and organic liquid flavor business, and we're now expanding that and building a spray drying campus. All in all, those 2 investments of $30 million and will be completed by the end of next year. So overall, we're building for future growth within the Health & Nutrition division. In terms of PN innovation, yes, it's fair to say we've accelerated. I've called out in our transformation. We've finished the reorg and the rebuild of the team in North America. I think what I'll do is, if you allow me, we'll leave any commitments or more detail on the Capital Markets Day in November. But in terms of marketing spend, look, clearly, we called out at the start that we've got to pull back some of our marketing for 2025, given the high input costs. But we've been very clear that, that marketing is focused on our growth speed both of Optimum Nutrition and Isopure and also to support our innovation. And we'll have a little bit more detail for you on that at our Capital Markets event in November.
Operator: There are currently no further questions. I will hand the call back for closing remarks.
Hugh McGuire: Yes. Just to say thank you very much all for your time, and we look forward to connecting with you all individually over the next few days.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.